Operator: Ladies and gentlemen, thank you for standing by, and I'd like to welcome you to the discussion of Text Q3 2025 and 2026 KPI conference call. The call today will be hosted by Marcin Droba and Lucja Kaseja from the Investor Relations department. [Operator Instructions] So without further ado, I'd now like to pass the line to Lucja. Please go ahead, ma'am.
Lucja Kaseja: Good afternoon, everyone. Today is January 5, a day when most people are still enjoying their holiday break. Nevertheless, we are already in the second trading session on the Warsaw Stock Exchange this year. And on Saturday, we published data that we wanted to comment on promptly. We also wanted to get into interactions simultaneously with all interested investor groups. On that note, we kindly ask especially individual investors to review the disclaimers, particularly those concerning forward-looking statements. Our environment is challenging and highly volatile. We are adapting to it, and we ask you to keep this in mind. Dialogue with investors is very important to us. As a side note, last year, our IR team spent 6 full days and 7 hours, that is 151 hours in total, talking to you via LiveChat alone. Interestingly, the year before that, it was just 84 hours. It is also worth highlighting that our CSAT score of 93.7% is an excellent result that we wish every customer support team could achieve. Let me move on to the data on Q3 of our financial year. MRR as of December 31 last year amounted to USD 6.98 million. This represents a 1.7% decline year-over-year and 1.1% decline quarter-over-quarter. The result is in line with and even slightly better than we expected in November when we indicated that -- in the half year report that such a decline was possible. MRR is a point-in-time metric, not a peer group metric. In our business, the end of the year is a period when fewer new customers join and many existing ones make cutbacks. We defended the USD 7 million level until the end of the year. We fell below it on December 31, the last day of the year. But data for January 1 already showed upgrades that brought us back about USD 7 million in MRR. Payment data showing exactly how much customers paid us look slightly better for the Q3 financial year quarter. We recorded USD 21.89 million payments in the period October, December. This is 1.6% less than in the previous 3 months, but a 2.1% increase compared to corresponding period a year ago. In the third quarter of the financial year, another important trend for us continued, the growing share of larger customers with MRR of at least USD 500 in our overall business. Such customers now account for 51% of total MRR, an increase of 1 percentage point from the previous quarter and as much as 8 percentage points year-over-year. This is a positive trend that will benefit our business going forward. This slide will not stay with us much longer. But for now, we continue to show the share of customers paying for more than one of our products in total MRR. The share increased by 10 percentage points over the year to 37.2% at the end of December. To summarize the October-December quarter, we recorded a small MRR decline, which, of course, is not pleasing, but it is consistent with our expectations. It is the result of continuing long-standing trends, a decline in number of small customers, largely offset by solid revenue retention and the acquisition of larger customers. At the same time, we achieved a solid level of payments received with 2.1 percentage year-on-year increase. Worth noting here are payments for the use of our API. We improved the accessibility of the solution in our product, resulting in a nearly 60% quarter-over-quarter increase for the first time. ARPL revenue exceeded USD 100,000 in this area. This is the effect of better visibility of the functionality in our product. Moreover, January, which already includes booked API usage fees for December shows continuation of this excellent trend. Please note that the customers pay for API usage on a paper usage postpaid model. So these amounts are not included in monthly recurring revenues. Last month, we obtained SOC 2 Type 1 certification, which confirms the highest level of security and quality we offer our customers. This is also something our sales team has been eagerly awaiting, and we are convinced it will help secure larger contracts in the future. This was also a quarter of significant testing for Text App, which met our internal goals. We confirm that the solution not only works, but also we are ready to convert leads potential customers who start testing it. Of course, this was not yet the scaling stage, but that stage is getting closer. We can say we have internally confirmed readiness for it. Q3 financial year quarter was also a quarter in which we improved our liquidity position. We received a total of nearly PLN 30 million in tax refunds and fully repaid the short-term bank loan. Of course, our financial year is not yet finished, and we will summarize it comprehensively in June. But looking very quickly at the 2025 calendar year, it was obviously not satisfactory in terms of achieved KPIs. MRR declined 1.7% over the period, while payments received, the actual money we received from customers amounted to USD 88.42 million, essentially flat year-over-year. We are talking in dollars here because the decline in the value of U.S. currency significantly worsens the results reported in Polish zloty. However, looking at what happened inside the company, there are achievements we can and should be proud of. During the year, we built from scratch a world-class new product that already supports our customers and attracts new ones. A very difficult and lengthy cloud infrastructure overhaul project is already improving the quality of our services and delivering uptime of practically 100%, visibly better than many top competitors. Our quality and highest security standards have been confirmed by SOC2 Type 1 certification. And during the ongoing year, we expect Type 2 certification, which confirms that all our procedures are effectively implemented. We view our business safe and stable as confirmed by the Management Board's decisions regarding dividend policy. In February, we will pay the first advance towards the expected dividend for the current financial year in the amount of PLN 1.15. This amount reflects the net profit level in the first half of the year and expenditure on projects that are not yet completed, and it was the highest possible level under the Polish Commercial Companies code. To summarize, 2025 was a year of investment and product development for us. In 2026, we will continue to broaden our product offering, yet we will focus on more on reaching customers, acquisition, distribution and visibility of products. You will see, among other things, the results of the work we have done with our -- with a renowned PR agency on communication, conveying our mission and product value and branding. I think we will surprise you. I want to emphasize that we look into the future with optimism, but we do not underestimate the challenges and do not want to encourage anyone else to do so. The most important challenges still include companies' concerns about implementing AI solutions and difficulties with their monetization, changes in content positioning and search on the Internet and the continuing difficult situation of smaller companies, especially in our key markets, the United States. For us, the most important thing is that we know we create value for our customers. Above all, we genuinely help them earn more online, and we will communicate this very strongly in the coming period. Thank you once again for your attention, and we invite you to questions.
Operator: [Operator Instructions] Okay. So we have a few questions from [ Francesco Bracchi ], a private investor. First of all, I'd like to thank you for your transparent communications. I have 3 questions. In the 2025 and 2026 first half results, you reported at Page 8, the team increased by 24 people year-on-year. Can you please disclose which areas were affected? How many programmers versus sales? You also reported new infrastructure improved the quality of your services and gaining new capabilities and offering development, particularly for enterprise class customers. But it did not translate into cost reductions. Do you have any cost reduction initiative? There are a few more questions, but perhaps we can -- if you like, Lucja or Marcin to take those or if you like, I can read the rest.
Lucja Kaseja: I think it will be better off reading one by one. So I'll take the first one. This ones regarding the team. So the team increased year-on-year indeed by 24 people and the majority was developers. There was maybe 1 or 2 people that were added to sales team, but also we added people to some other positions like designers. So that was roughly the composition of those people added to the team within the past year as of the end of September because you -- the question was referring to semiannual report.
Marcin Droba: Yes. So maybe I will take the second one about infrastructure costs. So there is some potential. There is definitely some potential for some optimizations, especially in the -- if you look at the infrastructure, we -- at this moment, we store more data that we have to. But also we will monetize some of this data of our customers we stored. So that's not the priority for us. So optimization probably will be delivered later this year. As I said, it's definitely -- our priority is a return to growth in terms of the top line, the top line and MRR. MRR is a North Star for us definitely. So yes, some possible optimizations, not like game changer for us, definitely not a priority at this moment. Going a little bit further when we think about margins, we'd like to see higher margins definitely. But that should be effect of the return to growth of the top line of the MRR, and we would love to see a scale economy again in our business. So that's the plan, that's the priority here.
Operator: The third question from Francesco. In the investor presentation regarding the WOOD's Winter Conference in Prague, you reported in the challenges very strong competition, but this is something we have become accustomed to over the 20 years in the market. Do you think you have a competitive advantage? Which one? What are you doing to manage the competition?
Marcin Droba: So I think that's a very interesting question because it's actually touch what will be our most important challenge and task and focus for the current year. So we are very focused on building new product, on testing, on -- deliver value for these customers. And we definitely can see fields where we are very, very strong and we have competitive advantage. But I think at this moment, we're really not doing the best possible work to show this advantage. So what we're going to do is will be show how which effects how -- which can be achieved by our customers using our products. And definitely that field we are -- we can -- we are thinking that it is the biggest strength of ours is actually monetization. We have very strong tools which can boost monetization for our customers. And we definitely try to communicate to show better that value and that effect we can deliver for our customers. There is a lot of work to do in terms of our visibility, but we have also some -- as was mentioned by Lucja, we have also scheduled plan of some PR work, some building our brand, communications, our our product and new brands. So there's a lot of things will happen on that field of communications in the 2026.
Operator: Our next question is from Pawel from Pole Position Investing. Thank you for organizing this webinar. Could you please share your perspective on how Text App customers perceive the solution? Additionally, are there any planned time lines for customer migration to Text App in 2026?
Lucja Kaseja: I think we can also combine this with the next question, which is also about Text App. We have -- as we have already mentioned, we have initially migrated the first batch of the customers and more than 700 to Text App. It was a testing group for the product. Meanwhile, we have received the feedback. We looked on what things are missing, what are the customers saying and we have applied changes. We were waiting until -- for the last ones -- for the last updates that we need to implement in Text App so that the biggest customers of ours would be satisfied with using Text App. As also mentioned, we started selling the Text App online on text.com. So we also have first customers which have found us and started the trials and also converted into paid accounts. And the customer migration currently is not forced. So the customers are -- can do that voluntarily. We have not planned any mandatory migration as of now, but that will be the plan also for the future. But we have to see -- we will observe what reactions are coming. And the most important part for us is to do it smoothly. So we will work on the communication. The customers will be the first ones to know. And it is also about making the process smooth for our customers. That's the ultimate goal.
Operator: [Operator Instructions]
Marcin Droba: So during previous presentation, we -- there was some questions about pricing and about churn. So maybe that would be good to give you that picture also here. So at the beginning of October, we actually increased prices for the LiveChat product for new customers only for now, but we actually -- the results was very positive from our view. We observed conversion rates. And after initial negative reactions, conversion rates return to the normal. So that's for us something very positive that confirmations that we still have some pricing power to use later this year. So that's important. Looking at the churn, it was slightly higher during that period, but that was something which wasn't expected because that's the end of the year and actually during end of the year we will losing slightly more customers as usual. So that was something which was rather expected.
Operator: We have a follow-up from Roman [ Bulaninko ], private investor. How heavily do you use LLMs for productivity? For example, Claude Code, codex, GitHub Copilot, LLMs for UX and content creation. What impact do you see from it?
Lucja Kaseja: I don't think we can give you exact data, but maybe that could be of help. I quite recently talked with one of the heads of the developer team, and he said that in last few months, he has not written the code himself, but he does it through the services that you have mentioned and only reviews and updates. So he doesn't have to write from scratch. But interestingly, he is encouraging his junior teams, junior team members to write the code themselves to learn things and actually to be able to see the results that LLMs, for example, are giving to be sure that this is exactly what they want to have in the product. What is also, I think, no matter really the team in our company, everyone is using AI for various purposes. So both it applies to developers, to content creators, to designers. So that's how the productivity looks right now.
Marcin Droba: Yes. Actually, I don't know if we should share this data because -- actually I didn't check, but we had some internal study on how much actually developers are saving time using AI. It looked like a few hours weekly, definitely, like small 2 hours. So yes, so time is saved. Actually that practice Lucja mentioned, I think it's on personal -- that my personal opinion is absolutely great. So let's use AI, let's save time, but let's understand what AI really doing and what -- how it should be done. So it's about learning curve. We are not -- we actually try to convince people to use AI, how -- as much as it's possible, but at the same time, let's be cautious, let's understand what AI is really doing.
Operator: We have a follow-up from Pawel from Pole Position Investing. Was the higher churn predominantly driven by smaller customers as observed in the previous quarters in 2024 and 2025? Or was there no clear pattern in the customer segments leaving Text?
Marcin Droba: I think that also was something discussed during previous call. So let's repeat that because that is important. If you look -- especially if you look at the LiveChat, the pattern is the very same. So churn is needed by very small customers or small customers. And the main reason of the churning is still in the category is I'm closing my business, I'm changing my business profile, I have financial problems and so on and so on. It's not only about -- it's -- what is very important, very important is to understand that it's data which is basing on what our customers are saying. So it's not like 100% accurate pictures, but it definitely gives you some insight. And definitely, some of our customers have -- smaller customers have some problems because of the weak economies, but some online business also have some problems because AI search change a lot in the terms of the CEO of the problems we're still struggling with. So yes, that's how it looks. Of course, looking at the Text App is still very -- to really have a good picture. But what is very interesting when we are looking now at the Text App is that it's getting customers from around the world. So every geography is there. United States is leading once again. But also the pattern of how Text App is used is very different. So some of the customers are using AI agents that really jump in and using them extensively. Still a lot of them are not using AI agents. Again, they're keeping AI agents switched off. And we have a lot of use cases. So that's something very interesting to learn, to see, to witness. And looking at these customers, we have some -- these new customers, we have some like very legit, very interesting companies from U.S. and looking on how they're using Text App. I'm very convinced that they will be with us like in 2 years and 3 years 5 years and maybe later. And also, I can see some businesses. I know that they will -- the one example may be a company actually a landing page, a beautiful landing page where Text App was used, but this landing page was about selling tickets to Christmas show. So definitely, if we're thinking about churn, churn is very natural part of SaaS business. We have also companies who are selling tickets for Christmas show.
Operator: We'll give it a few more moments for any further questions. Okay. It looks like we have no further questions. Marcin, Lucja, would you like to have any closing remarks?
Marcin Droba: Lucja, do you want to add something?
Operator: No. Do you have any concluding remarks?
Lucja Kaseja: So as of concluding remarks, I think it is valid what is still displayed here on the slide of the presentation. 2025 was a year of building for us. We changed the infrastructure. We built entirely new product from scratch, which is already providing value to customers, not only the ones that we've migrated, but also the ones that have chosen the solution themselves. And for us, 2026 will be a year of putting the product to find well-working distribution process for the product. So it will be unlocking our go-to-market potential definitely. There's a lot of work that needs to be done, but we are ready for it. And we will be hearing you in 3 months' time. Thank you for listening. Thank you for your questions, and goodbye.
Marcin Droba: Yes. Thank you. Have a great year. Thank you very much.
Operator: Thank you very much. We'll now be closing all the lines. Have a good day.
Lucja Kaseja: Thank you.
Marcin Droba: Have a great day. Thank you.